Executives: John Regazzi - CEO & President Steve Lance - VP of Finance, CFO
Operator: Welcome to the Giga-tronics Second Quarter Earnings Conference Call. My name is Eulanda and I’ll be your operator for today’s call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. It’s now my pleasure to turn the call over to Mr. Steve Lance. You may begin.
Steve Lance: Thank you, Eulanda. First, I’d like to read our Safe Harbor Statement. This conference call contains forward-looking statements concerning operating performance, future orders, long-term growth, quality control, certification and shipments. Actual results may differ significantly due to risks and uncertainties such as delays with manufacturing and orders for new products, receipt or timing of future orders, cancellations or deferrals of existing orders, the ability to regain As90100C or equivalent certification, the Company’s need for additional financing, ability to be traded on NASDAQ, the volatility in the market price of our common stock and general market conditions. For further discussions, see Giga-tronics’ most recent Annual Report on Form 10-K for the fiscal year ended March 28, 2015, Part I under the heading Risk Factors, and Part II, under the heading Management’s Discussion and Analysis of Financial Condition and Results of Operations. I will now turn the call over to John Regazzi, our Chief Executive Officer. Thank you. John?
John Regazzi: Thank you, Steve. Good afternoon and thank you for joining our quarterly earnings conference call. As you can see the from the numbers, they’re in line with our preliminary release two weeks ago. Net sales for the second quarter of fiscal 2016 was $3.1 million as compared to $5.1 million for the same quarter a year ago, and net sales were $7.4 million for the six month period ended September 26 of this year as compared to $9.6 million for the same six month period of last fiscal year. The decreases in net sales are primarily due to lower revenue associated with our radar filter project as that project nears completion, lower overall sales from our traditional product base as the Company shifts its focus away from these markets, and delays in shipments of new products due to late supplier deliveries and some technical issues. Net loss for the second quarter of fiscal ’16 was $1.3 million or $0.20 per fully diluted common share as compared to a net income of $93,000 or $0.01 per fully diluted common share for the same quarter a year ago. Net loss for the six month period ended September 26 was $1.9 million or $0.30 per fully diluted common share as compared to a net loss of $350,000 or $0.07 per fully diluted common share for the same six month period a year ago. The net losses are primarily due to the decreases in net sales that we previously discussed. Our earnings release also shows non-GAAP numbers for the same period just discussed. These numbers are exclude the non-cash expenses associated with our debt and warrant agreements as well as stock based compensation. After some temporary delays due to late material deliveries and some technical issues, second quarter deliveries resumed early in the current quarter, including multiple units of the advanced signal generator. Our manufacturing organization has now smoothed out to tuning process for our advanced generator and I anticipate a more regular pace of shipment going forward. In addition we announced today the receipt of 1.4 million order from a second major defense prime contractor. I am very pleased to see such solid acceptance within the EW community of our unique performance benefits of the advanced generator. I anticipate fulfilling this order within the current fiscal year under the expectation of regaining our quality certification. With that I’d like to open the call for questions.
Operator:
Steve Lance: All right. Thanks everyone for your participation this afternoon. Have a good afternoon.
Operator: Thank you, ladies and gentlemen, this conclude today’s conference. Thank you for your participation. You may now disconnect.